Holly Schoenfeldt: Good morning and thank you for joining us today for our webcast announcing U.S. Global Investors Results for the Second Quarter of Fiscal Year 2020. I'm Holly Schoenfeldt. If you have any questions during the webcast, you can enter them in the questions area of the control panel side bar, which is normally to the right of your screen. Also, you may download a PDF of today's slides by clicking on the red handout button. The presenters for today's program are Frank Holmes, U.S. Global Investors’ CEO and Chief Investment Officer; Lisa Callicotte, Chief Financial Officer; and myself, Holly Schoenfeldt, Marketing and Public Relations Manager. During this webcast, we may make forward-looking statements about our relative business outlook. Any forward-looking statements and all other statements made during this webcast that don't pertain to historical facts are subject to risks and uncertainties that may materially affect actual results. Please refer to our press release and corresponding Form 10-Q filing for more detail on factors that could cause actual results to differ materially from any described today in forward-looking statements. Any such statements are made as of today, and U.S. Global Investors accepts no obligation to update them in the future. On Slide 4, you'll see a quick overview of U.S. Global Investors. We are an innovative investment manager with vast experience in global markets and specialized sectors. Founded as an investment club, the Company became a registered investment advisor in 1968 and has a long standing history of global investing and launching first of their kind investment product, including the first no-load gold fund. U.S. Global is well known for expertise in gold and precious metals, natural resources and emerging markets. Now let's go to Frank Holmes, CEO and CIO for an overview of the period. Frank?
Frank E. Holmes: Thank you Holly. Well this is going in after 30 years living in Texas and launching a China Fund, the first China opportunity fund and then the Eastern European Fund. So yes, this long experience started in gold in 1968 but in the past 30 years we have truly evolved to have an expertise on global investing. And we strive to be this go to stock for exposure to emerging markets, resource gold, and digital currencies. We are debt free, we have a strong balance sheet with a reflective cost structure and multi dividends that return equity discipline.  But even with these strengths we still want to remind and thank investors for their loyalty and their long-term support, the top institutional holders, the Royce funds, the Perritt and Financial FIM Group, the Financial Investment Management Group have been steady long-term investors as active money managers and we thank them. And also for other pools of capital which is much more indexed or in case of BlackRock and Vanguard.  Next please, so even with this better market which we are going to talk a bit more in the mutual fund world, we are still dealing with the growth and we are still trying to do everything we can so be innovative in this phase. So even during this period we have been able to maintain 10 years of paying a dividend and paying monthly dividend, it is a modest yield but it is higher than five year government bonds.  Next please, the Board approved a repurchase of up to 2.75 million of the outstanding common stock in the open markets through December 31, 2020 and during the three months ended December 31, 2019 the company repurchased only 2000 shares of its Class A shares using approximately $3000. And that's because we buy when volatility expands on a daily basis. It is simple algorithm that buys on down base. And we need to spend or discontinue at anytime. Next please, the balance sheet, so as you can see given a reflection of both our marketable securities, our short-term bond funds, and our cash position and the other part which is creating -- it still remains healthy we have had some drains on it on cost structures in the past year in particular managing the overall stock market when we have several of our funds have what's called a fulcrum fee, and that fee is when you will perform your index you get a bonus and when you underperform, you get up to write a check to go back. And that was probably one of the biggest negatives last year as the overall market became very concentrated. What we're witnessing even year-to-date is five stocks, technology stocks are almost 20% of the S&P 500. So we're talking about 1% is almost 20% of the market. And if you don't have those stocks in your portfolio, then you are going to be underperforming in S&P and then automatically according to the Fulcrum fee model, you have to give back and you can't own in a mutual fund only five concentrated bets. You have to have 21 names. So that is something that we continuously wrestle with in our overall funds and wanted to strengthen our balance sheet. But we have no debt and that's what's most important for investors.  Next, please. So earnings per share and we've experienced lots of volatility, we come in on this many times. Lisa is going to go into more greater detail. And if you're a new listener, then you can easily just call up U.S. Global, and Lisa can walk you through on the pronouncements that took place last year that basically made what was originally long-term investments of a certain have to go mark-to-market every quarter and that's created greater volatility in our earnings. And so I think it is important, I am going to try and highlight this as we go further on such as what are the write downs we took in the last quarter, maybe if these stocks have had -- two of them in particular GROWs spot has doubled since December 31st and high block chain is also almost four times year-to-date. And so we have had a major rebound in those investments and they hold their position, then this is something that is going to continuously create sort of volatility in overall earnings.  Next, please. So the overall average assets that have seemed to have maintained themselves going sideways. Next please, number of mutual funds, this is really important for the listeners that the mutual fund world continues to see more exiting than people entering the industry. We're seeing as you see the red, dark red is merged mutual funds and then funds being liquidated. So there's an unprecedented number of funds being merged and being liquidated that's surpassed the opening of new mutual funds. And this trend is also being witnessed in Europe and it's being witnessed in Canada. And I think this is important for the sort of uberization of mutual funds because the ETF's are more tax efficient and people can get in and out all day long rather than wait once a day pricing.  Next, please. So there is another sort, visual to understand the total net assets or ETFs or exchanges continues to grow. And it continues to most of its growth is taking money away from the mutual fund world. Next please, but in that space we've survived and we've finally had GOAU, our gold quaint [ph] approach to picking gold stocks. It's in a universe of 100 names we've distilled it down to 28 names, three of them are royalty companies, they are 30% of the portfolio. We've explained many times of what cash go to our site and listen to the webcast, take your RIAA. I believe the last webcast was open to the general public. You can send an e-mail into us and we'll get it for you. But what's important here is that GOAU are back testing has suggested that the reason why we launched it is that we don't perform the largest GDX and GDX ETF because it was smarter. And it was more selective and it would outperform 92% of the time. And so we launched it and we've been able to outperform the GDX and GDXJ and that's what is important.  So, it finally starts to take off this year with a rally in gold and that's why we look very happy about it. It is no longer a cash in, cash out, it was a loser in a cash flow positioning. And we have to get over 50 million at 60 to 65 basis points to basically stop losing cash and supporting an ETF. So we're happy it's growing and we're thrilled for the shareholders. This is delivering exactly what the model suggests it would. And we all know the past performance still guarantee future results. But I'm thrilled to put my name to GOAU.  Next please, so the trading volume is also very important. It's up almost 700%, the daily trading volume. And last year in June, new liquidity rules came out for mutual funds and it has had a collateral sort of damage because you have to write all these reports if the stock doesn’t have a very tight spread or it doesn’t trade at big dollar trading volume. And so it is also without a collateral risk is if you can attract money into a great ETF because if it doesn’t have good enough trading volume then the big platforms such as the Merrill Lynch sort of world, etc. will not. But the ETF on the platform is a combination of daily trading volume and size of the fund. So the fact that we've gone through 40 million and we have very, very strong daily volume that's when we are able to get this fast track the process of GOAU on these other distribution platforms.  Next, please. And this is the visual. You know, Raymond James, Oppenheimer, and Janney Montgomery Scott, the fact that GOAU has been added to these trading platforms only enhances its ability to be able to grow. Next, please. What's really also amazing is that gold ended 2019 again on a high note. Gold is beating the market so far this century. So for the past 20 years, 80% of the time and was up last year. And the fact that even there it has still so many CFA money managers, generalists in the marketplace and talking heads on Bloomberg and CNBC are quick to be anti gold as an asset class. But gold has been very important asset class, especially when governments are trying to use only monetary policy to stimulate growth by flooding the system with lots of paper money. Next, please. So that's the visual showing you that over the past 20 years, 80% of the time gold has been up. Next, but what's really important when it comes to these asset classes is to know the volatility and what you can see here is that gold in the S&P 500 over one day or ten days have almost -- or they have the same volatility. And that's really important for investors so often they are talking heads say that gold is so volatile when in fact it is the same volatility as the S&P 500. Now, gold stocks that's different. Gold stocks have much more volatility and they're much more like biotechnology companies if you looked at just volatility data points and emerging markets. So emerging markets, gold stocks, and biotechnology are very similar, they have much greater volatility than the S&P 500 or bullion itself. Now, Bitcoin and Ethereum, that's another case. Bitcoin is much more volatile than the stock market or gold. And so was Ethereum. And that is very important cue for the listeners today to understand our investment [indiscernible] and how it creates greater volatility with GROW.  Next, please. So I wanted to really try to walk investors through the major events that have happened. I just spent a week at Harvard with a group of other CEOs from 50 different countries. And it was interesting for me because a year ago, maybe 10% of the cases were digital on AI and Bitcoin. And this year, 25% of the cases were on Bitcoin, cryptocurrencies, ICOs and AI. And all these digital companies, all these public companies have had digital errors and how that could be disruptive to your business model or getting hacked and how you're not dealing with it. And when I thought in that case, it's so important to highlight here for you is that Bitcoin moves on a lot of sentiment and I thought it is also interesting that Bitcoin has gone through what they call a crypto winter. And the crypto winter lasted about 15 months and most of the coins particularly the Bitcoin are the biggest and then second biggest in Ethereum, they fill up to 90%.  And what was interesting for me was that the winter for AI was over a decade. But that hasn't happened here and the dynamics for pricing is very different than say, AAI. The cost of doing AI work and the cloud has dropped to by 90% so that's why AI is taken off as an application. And it was sort of a different factor, but the fact is, when costs drop at that amount, it has a big impact on any asset class. And what we're seeing here is that Bitcoin you can see all of a sudden Fidelity, not Fidelity but during this whole process, Fidelity keeps mapping out their growth. They keep presenting at conferences, which is really important for understanding what we're looking at is trying to launch an ETF, but quickly found out that it was just a no go due to great concerns by the SEC and I understand totally and the [indiscernible] over 80 money laundering laws, AML is the buzzword, concerns. And so we've made a pivot and we invested and launched as a [indiscernible] on this new industry that is exploding.  And high blockchain itself had this incredible success story of growth and then it fell naturally along with Bitcoin in Ethereum pricing and what's important, I'll try to highlight it's improved recently but what you're seeing on this visual is that Facebook came out and stopped advertising. And we also had JP Morgan having many negative articles that are anti Bitcoin during this whole winter season. And it is important for you to recognize that Facebook stopped it because it looks bad because they're coming up with their own stable coin Libra. And JP Morgan was working on their own stable coin and then when JP Morgan a year ago in February launched it, that was the bottom for Bitcoin prices. And Bitcoin prices then surged and then Facebook came over and announced Libra, and then Bitcoin surged to $14,000 and then we had all the other central banks going against Libra, their great concern because they would have information too big and people around the world, they could become a completely decentralized currency and too much power that would be going to Facebook, which was of great concern. And we saw Bitcoin and Ethereum sell off. So it's important to recognize that the sentiment of regulators having meetings of Congress or the SEC with politicians, that news being announced that the coin sells off and so the date of that meeting with the government officials and then it seems to rally from there. Next please. But the positive news continues and we're seeing tethered launches of U.S. stable coin. There's also a gold coin backed by gold, [indiscernible] reports why institutional should be holding Bitcoin. And we are seeing that some pension funds are allocated to this alternative asset class. And what they want is the version coin, as it is known, the first coin, the Genesis coin. And we were a miner like high blockchain is every time you validate a transaction, you get paid not in cash, but you get paid in that coin. So if you're validating a Bitcoin transaction you get paid in what's called a Genesis or a virgin Bitcoin. If you're doing it for Ethereum, then you get new Ethereum coins every time you validate those transactions. So out of nowhere, you have these coins that have been unchanged and no AML concerns and so hive gets a request for paying a slight premium for their coins or particularly Ethereum coins.  Next, please. So as you know 18 months ago I became the Interim CEO, took on the responsibilities. U.S. Global, basically rented my time to the company, allowed me to go in and help turn around the company and reposition. Next visual please, and we went through an incredible journey of getting clarity on transparency and costs and corporate governance issues with the largest shareholder Genesis Mining. Tragically it went into a proxy pile, we prevailed and we signed a peace and prosperity agreement and we start taking over the facilities and Sweden was the first test because it was the largest industrial scale mining of Ethereum that I am aware of in the planet and a public mining company. And so we've finally got really control of all the cost structures and got all the numbers. And I'm happy to say that you can see there's been a turnaround. And what we're witnessing is that this trade -- the volume had changed and particularly coming into January. And a big reason for that was that the large institutional client in Canada, for whatever reason, redemptions, I'm not sure but they were just which surprised me, a digital computer seller. That is, they didn't try to arrange [indiscernible] big decision. They just sold like as a grappling done every day, knocking down the price, and they took it right down to $0.10 by year end. And as soon as that selling, that cloud was taken away, the valuations of high all of a sudden changed dramatically. The volume started to change dramatically. And you can see the sort of spike. So I'm really happy to see that churn. I'm happy for GROW's shareholders because we have a major stake in this company and we had to deal with those write downs, with those new accounting rules. So they did hurt our overall position last year, but it looks like we made a big chart.  Next please. So HIVE Blockchain performed as the first public company in the space when it went public in 2017. It attracted candidates to over $1 billion for other blockchain companies, it went up to copy what our business model was, but I think that's what we did. We truly captured the imagination and those gold mining investors and traders that did not want to open an account at some crypto exchange because of all the negative news used HIVE as a proxy. And that's what we've seen, HIVE became the darling, it became the proxy, the [indiscernible] that we opened 14,000 accounts in our first year. So it became very liquid trading in Germany, over the counter in the U.S., and actively in Canada. And as you can see in particular, this year, and date HIVE has just far surpassed any of the other companies. And it's also tied into transparency and better news where we can make press release over change in the company and vision. And I think last part was the selling overhang. All of a sudden you start seeing the stock rebound.  Next please. So when you're mining one of the biggest costs, you try to lock in your electricity costs. So, we made a recent press release this week that electricity costs have been -- we hedged our electricity costs because of the extreme warm, unusual weather in Europe. And that was as advantageous as opposed to $0.02 a kilowatt, which is a lot cheaper than it is in Canada and the U.S. But the other big cost that you have to do with your money is called the network cash rate and the network cash rate is how many people are competing to try to unlock that crypto code and be part of that blockchain process. And you get these new coins, so the more people come in, the more competition there is. Well, it's been very stable. So we've been -- we've had a windfall because energy prices have fallen for us from a year ago and two, the -- you can call it network cash rate has remained stable. And three, there were changes to the algorithm for mining free Ethereum that gave us more coins. They basically stopped A-6 chips from being able to mine Ethereum. GPU chips has been the focus, so it's been very beneficial to us.  Next, please. Now, this is a big turnaround. This is very significant. As you can see, year-to-date HIVE has gone from taking $0.10 to $0.47 yesterday. Friday last week it traded 30 million shares. I think yesterday it was 17 million or 20 million shares and the big breakout took place when Ethereum broke out. In mid January Ethereum went above its 50 day moving average and HIVE went above its 50 day moving average. And all of a sudden investors are coming back in at a greater scale to use Ethereum as using HIVE as a proxy for Ethereum. And so where our costs are probably like 125 and now Ethereum is over 225 so we are making $100 for every coin we buy. So that becomes a very high gross margin business and that is reflected showing up in the stock.  Next please. So this is HIVEs performance over three months. HIVE did hurt us last year in that mark-to-market rules and it hurt us in the last quarter but what I'm happy to share with you is that we have made a big comeback and we're above. Next please. Next slide please. So latest updates HIVE Blockchain announces completion of transition of broad base on November 7th and December 18th blockchain ensures improved resolutions in shareholders meeting. January 14th we announced a 20% increase in coins mined daily so we get this bump of 20%. Now we get a drop of over almost I would say 40% in energy costs. So we have expanding profit margin and the coin is also rallied. So we're in that sort of perfect reverse scenario from last year where the stars are aligned for HIVE. Thank you.  Next please. Now I want to turn it over to Lisa to walk through that financial operation of the mutual funds. As I talked earlier we're doing everything to streamline our cost structure in the mutual fund world and we have some strategies for doing that this quarter which we'll announce later as we fine tune that strategy. And most important is let's recap last quarter. Lisa.
Lisa Callicotte: Thank you, Frank. Good morning. Before I discuss the results of operations for the quarter I'd like to discuss the pending sale of our 65% Canadian subsidiary Galileo Global Equity Advisors. On December 30, 2019 USGI entered into a binding Letter of Intent with Galileo. Pursuant to its capital restructuring Galileo agreed to purchase all of the common shares owned by USGI for 1 million Canadian dollars. The transaction is subject to regulatory approval and other closing conditions and it is anticipated that the transaction will close on or about March 2, 2020. The result of Galileo are reflected as discontinued operations in a consolidated statement of operations.  Now I'll discuss the results of operations for quarter ending December 31, 2019. Beginning on Slide 31 we reported total operating revenues of 887,000 for the quarter which is an increase of 94,000 or 12% from the 793,000 from the same quarter last year. The increase is primarily due to decreases in performance fees paid out, lower fee waivers, and higher assets under management in the USGI equity fund. Operating expenses for the current quarter were 1.4 million, a decrease of 251,000 or 15% primarily for the following reason; employee compensation and benefits decreased 155,000 or 20% mainly due to decreases in bonuses and general administrative expenses decreased 103,000 or 13% primarily due to decreases in fund expenses. We see our operating loss for the quarter ending December 31, 2019 as a loss of 511,000, but this is an improvement of 345,000 compared to the same period for the fiscal year 2019.  On Slide 32 we see that other income loss for the quarter was a loss of 440,000 and this is mainly related to unrealized losses and investments as Frank has discussed. Losses from continuing operations was a loss of 926,000 which was an improvement of 2.6 million from the quarter ended December 31, 2018. Loss from discontinuing operations was 117,000 for the quarter. Net loss attributable to USGI after taxes for the quarter is $1 million and as you can see on slide 33 this is a loss of $0.06 per share.  Moving to Slide 34 we see we still have a strong balance sheet which includes a high level of cash and unrestricted marketable securities that combined to make up 60% of our total assets. As you can see on page 35 we still have no long-term debt, our only long-term liabilities are lease obligations, and the company has net working capital of 10.2 million and a current ratio of eight to one. With that I'll turn it over to Holly.
Holly Schoenfeldt: Thank you Lisa. Alright, as you can see on Slide 38 a majority of our mutual fund assets are in emerging markets and natural resources while 31% are in domestic equities and fixed income and then as for distribution more than three quarters of assets come from retail investors with 18% coming from institutional investors. Our sales and marketing efforts have continued to focus on our mutual funds including those concentrated on gold, natural resources, and emerging markets as well as our ETF. The company and our funds continue to receive an invaluable amount of viral publicity gained through media interviews. Frank Holmes often shares his insights with financial news outlets like the Fox Business, Bloomberg Radio, and Kicker News just to name a few. We continue to receive recommendations by influential financial newsletter writers as well along with sharing and syndication of our award winning original content by third party publishers. The newsletters have loyal followings and received millions of visitors every month.  Frank Holmes' CEO blog Frank Talks continues to grow in popularity as well. His commentary is often featured by prominent publications including Forbes, Seeking Alpha, Kitco, and Equities.com each with millions of monthly visitors. Kitco News, the biggest gold website in the world with an audience of over 30 million monthly visitors in partnership with the Street continues to feature the Gold Game Film Show with Frank Holmes gold market analysis. Since the show's beginning 177 episodes have aired. At quarter end we also like to look at the most visited spring talks blog post published over the past year and on this slide you can see that the most visited articles in 2019 are as follows; number one, hard truths and resource investing according to Bob Moriarty; number two, This AI Company is the future of gold exploration; and number three, three mining stocks for investors seeking gold exposure. And you can sign up for the blog for free on our home page usfunds.com.  In all of this coverage helps us leverage our brand by reaching millions of readers, viewers, and potential investors in our website USfunds.com was visited 681,000 times in 2019 by curious investors from all over the world. U.S. Global is well known for timely, balanced, and positive market insights and our thought leadership. The company has been awarded numerous star awards by the Investment Management Education Alliance over the years, for excellence in investor education. And just last month we added three more awards bringing the total to 88. Our subscriber base continues to grow organically and we currently have over 50000 serious investors subscribe to our investment newsletter and the Frank Talk blog. We also continue to see a large following across all of our social media platform. Investors can sign up at usfunds.com and join these subscribers to receive the award winning investor alert e-newsletter as well as Frank Talk.  And briefly as we wrap up today's presentation we do want to open it up to questions and just as a reminder you can enter questions in the control panel on your screen and you can also submit questions directly to us anytime by emailing info@usfunds.com. And for those we will be following up with all questions within a few days. 
Q - Unidentified Analyst : And I do have a few questions to begin with. The first one is for you Frank and it says how is the Coronavirus impacting investments in some of your global funds or your airline ETF?
Frank E. Holmes: Well I would say the Coronavirus is more negative than SARS because flights were canceled and it had a bigger impact in particular out of Asia and the Asia Airlines. Yes, the U.S. had canceled flights for their airlines but I don't think it has as a significant impact as was so forecasted. We did see the Jets ETF sell off on the sentiment of it coming off but it's still in the U.S. It's a very strong economy. Employment numbers, when we just recently came out and now we see that PMIs have turned positive on the most recent numbers which remains if they hold above 50 and continue to grow is very positive and constructive. And I would say that the airline industry is probably extremely undervalued. And when Coronavirus -- the solution to this horrible tragic disease is that they find a solution to it that the airlines will probably have this massive move on the upside as Asia turns the corner on it. China is doing everything now to control it. And so I think it'll resolve itself.
Unidentified Analyst : Great. Thank you for that. I also have a question for Lisa that said how will the Galileo transaction affect the USGI financials?
Lisa Callicotte: So after the transaction is complete USGI will no longer consolidate the Galileo assets and liabilities on our balance sheet and we won't be including that 65% of Galileo's income or loss in our income statement. So when we're looking at the March 31, 2020 financials there won't be any discontinued assets or liabilities listed on the balance sheet and in the statements of operations for the three and nine months it will only include our portion of income or loss through the transaction date. So after that date we will no longer be recognizing any portion of Galileo's gain or loss in our income statement.
Unidentified Analyst : Okay, thank you Lisa. Frank I have another question for you.
Frank E. Holmes: I would just like to add you know that we put up about a million dollars, how many years ago was it Lisa, nine years ago, approximately… [Multiple Speakers]
Frank E. Holmes: I'm sorry. Yeah we started talking about nine years ago and I think we've helped that business do as best we can from our ideas for the company but really the company had $300 million of pension fund assets and it just shocked us that the pension fund took the money and redeemed it. That was a good performance for them and they put it into 30 year zeros, the government bonds. I mean I just don't have any idea why someone would do that. When you turn around and see governments like Switzerland printing money and buying stocks and they're the largest top five shareholders of Apple and you're seeing Japan floating money and buying stocks etcetera that a pension fund would buy government bonds. But these -- that really changed the revenue cost structure and the funds themselves are experiencing the same sort of virus that the mutual funds have in America. And the viruses is this regulatory costs and tax disadvantages of mutual funds. They are just so much more expensive and ETFs are more attractive and so funds are going into that direction. So I think that it was a good move, because when we look at it it's almost a net trades when we take a look at money going in, money coming back. Is that correct Lisa. 
Lisa Callicotte: Approximately yes.
Frank E. Holmes: Yeah. Whereas most mutual funds during that period big funds from Franklin or whatever that are public experience also the redemptions. So I think that we exited in a timely way and we'll reassess how we want to be able to be in Canada. It is certainly important because 60% of all mining finance in the world is in Toronto. So it's important to be here, to get information that's too late by the time you read the newspaper or Bloomberg. Next please. 
Unidentified Analyst : Okay, thank you Frank. Yes, so there is another question for you Frank that says how do you see the recent resurgence in HIVE impacting GROW this year?
Frank E. Holmes: Well I think it's pretty simple. So luckily we have I believe it's 10 million shares, Lisa.
Lisa Callicotte: Yes. 
Frank E. Holmes: That the advice that GROW has. So those 10 million shares have gone from $1 million valuation to $4.7 million valuation so far this quarter. And I think that that was sort of the difficulty that we have but that's just the reality is that that asset class is going to go mark-to-market every quarter. And so that will show up. So anyone doing the calculation it's easy for them to make that determination.
Unidentified Analyst : Okay, great. And we have time for one more here Frank. It says overall what global catalysts do you see potentially moving GROW in 2020?
Frank E. Holmes: Well, I think as our gold funds are doing well and I think the GOAU it's just smarter and it just surprises me that it is not $0.5 billion fund, ETF and $0.5 billion it would throw off $3 million of revenue and from an operating business of just the asset, the investment advisory business we would be profitable, very profitable from that. And so the goal is to get that to that strategic asset class that people recommend if they're going to go into gold ETF, gold equity ETF. So it's the first choice because it's just more intelligent [ph] how it operates. And so I think that's sort of a wakeup call to platforms and positions would be a big catalyst. Gold's running back to 1900. I think it's just inevitable, it is going to happen because of monetary policy decision makers around the world and fiscal policy. There's no constraint of fiscal policy. There's no initiatives to really lower regulations and taxation. But to try to use cheap money, printed money to stimulate economic growth, and that just makes real assets like gold do well. And then I think when we add on top of that the crypto space is also a part of those alternative asset classes. And then when we look at gold's spot, AI, gold spot been able to -- the scientist behind gold spot have done a remarkable job of companies like [indiscernible] have announced gold discoveries because of their AI approach. And I think that their AI approach could be what fracking has done to the oil industry. In the U.S. this could be so helpful for the gold mining industry. So I look back at those two investments, it could be very strategic to us in the next year or two years and I'm very happy both HIVE blockchain has been a big sacrifice of time and money. But this is a company that is a leader, it's about 3% of the world's Ethereum production. All these other countries, when they talk about coming up with their own coins, they talk about the backbone of Ethereum. So they're going to be launching other currency coins or etc. They're going to -- it's going to be have something to do with Ethereum. All the ICOs use it so I think that's what they call STOs, they call it ICOs. These are new types of digital security, think of stocks all of a sudden going digital and having that backbone so often Ethereum is the platform and we are the principal players in Ethereum. So I think that HIVE could be a big catalyst in growth for when regulations come out as that are more stable around the world regarding digital money then I think we're going to just continue to see an adoption process. So that is where I see the growth defined [ph]. Thank you. 
Holly Schoenfeldt: Wonderful. Thanks Frank. And thank you all for your questions today. This concludes U.S. Global Investors Webcast for the second quarter of fiscal year 2020. This presentation will be available on our website usfunds.com. Thank you all for your participation today.